Operator: Greetings, and welcome to the Fair Isaac Corporation Quarterly Earnings Call. [Operator Instructions]. As a reminder, this conference is being recorded, Wednesday, August 2, 2023. I'd now like to turn the conference over to Steve Weber. Please go ahead.
Steven Weber: Good afternoon, and thank you for joining FICO's third quarter earnings call. I'm Steve Weber, FICO's CFO, and I'm joined today by our CEO, Will Lansing.  Today, we issued a press release that describes financial results compared to the prior year. On this call, management will also discuss results in comparison to the prior quarter in order to facilitate understanding of the run rate of our business.  Certain statements made in the presentation may be characterized as forward-looking under the Private Securities Litigation Reform Act of 1995. Those statements involve many uncertainties that could cause actual results to differ materially.  Information concerning these uncertainties is contained in the company's filings with the SEC, in particular, in the Risk Factors and Forward-Looking Statements portions of such filings. Copies are available from the SEC, from the FICO website or from our Investor Relations team.  This call will also include statements regarding certain non-GAAP financial measures. Please refer to the company's earnings release and Regulation G schedule issued today for a reconciliation of each of these non-GAAP financial measures to the most comparable GAAP measure. The earnings release and Regulation G schedule are available on the Investor Relations page of the company's website at fico.com or on the SEC's website at sec.gov. A replay of this webcast will be available through August 2, 2024.  And with that, I'll turn the call over to Will Lansing.
William Lansing: Thanks, Steve, and thank you, everyone, for joining us for our third quarter earnings call. On the Investor Relations section of our website, we posted slides that offer financial highlights for our third quarter. I am pleased to report we delivered another exceptional quarter with record revenue and profitability and strength throughout our business. Today, I'll talk about this quarter's results and our increased guidance for the full fiscal year.  As you can see on Page 2 of the presentation, we reported record revenues of $399 million, an increase of 14% over the same period last year. We delivered $129 million of GAAP net income and GAAP earnings of $5.08 per share, growing 38% and 41%, respectively, over the prior year. On a non-GAAP basis, net income was $143 million, with earnings per share of $5.66, representing year-over-year growth of 24% and 27%.  We continue to deliver strong results throughout the business. Scores revenue was a record $202 million, up 13% in the quarter versus the prior year. As you can see on Page 6 of the presentation, B2B revenues were up 24%, driven primarily by increased originations revenues. Mortgage originations revenues were up 135% versus last year. Auto origination revenues were up 5%. Credit card, personal loan and other origination revenues were up 2%. On B2C, revenues were flat with last quarter and down 11% versus the same period last year. That was due to difficult comps.  In our Software business, we continue to drive growth with FICO Platform, which provides the power of analytics and AI to enable smarter business decisions at scale. You can see on Page 7, we delivered overall ARR growth of 20%, a significant milestone for us, and platform ARR growth of 53%. This represents our 15th straight quarter of platform ARR growth in excess of 40%. We continue to drive strong net retention rates as our customers continue to increase volumes and find new use cases.  Overall NRR increased to 117%, as shown on Page 8. Legacy off-platform NRR was 109% as volumes grew in many of our customers. Platform NRR was 142% due to expanded use cases driven by the success of our land-and-expand strategy.  And we continue to see strong demand for our software. As you can see on Page 9, we had another quarter of double-digit growth, with ACV bookings up 13% over the same period last year. We continue to see a strong pipeline of opportunities and are seeing strong demand for FICO Platform.  We had first-hand confirmation of the critical nature of FICO Platform at our recent FICO World Conference. This is a 3-day event, and it attracted customers for more than 60 countries where they shared best practices, learned about the latest in AI and advanced analytic innovations and learned new approaches for digital transformation. We talked about how FICO Platform can design, build and deliver AI-powered hyper-personalized customer journeys across every touch point and with every interaction.  Personally, I enjoyed the opportunity to meet our customers and hear from them how we're working together to optimize their most difficult decisions. One customer said, "I knew the FICO Platform had potential to help transform our business from a decision-making perspective, but I'm now blown away by the scope of the platform and communications capabilities." Another customer told us, "FICO doesn't sell software, you sell intelligence. That's way more valuable." And yet another customer simply said, "We either do this now or we fail forever." I'm proud of our technological excellence and the team that supports our customers to transform their business.  Finally, I'd like to say a few words about our partnership with Chelsea Football Club, where we're working together to empower students, adults and communities across the U.S. with financial literacy tools and knowledge to make informed credit decisions that last a lifetime. We are hosting fundamental workshops in partnership with the U.S. Soccer Foundation to empower the younger generation with the essential credit knowledge to jump-start their credit journeys.  Financial literacy correlates with better outcomes in education, but we know that the playing field is not always equal. One in 5 U.S. teenagers lack basic financial literacy skills. Around 74% of teams aren't confident in their financial knowledge. We're working on tackling this financial education gap to get more young people in the game.  In each of the 5 cities that Chelsea is playing this summer, we're working with local partners to bring teenagers from traditionally underserved communities to these fundamentals, workshops that are held on or near game day. The students will have an opportunity to attend the Chelsea football game taking place in their city.  For the wider community in these cities, FICO is also hosting Score a Better Future Credit Education events, which are free to the public and will provide local residents with knowledge and tools to gain better insight into their financial health and understanding of their FICO Scores. We know that FICO Scores have allowed much more equitable access to credit, and we're committed to helping educate consumers about processes to foster broader institution.  I'll have some final comments, including an increase in our guidance, in a few minutes. But first, let me turn the call back to Steve for further details.
Steven Weber: Thank you. As Will said, we delivered another very strong quarter in both our Scores and Software segments. Total revenues for the third quarter were $399 million, an increase of 14% over the prior year. In our Scores segment, revenues were $202 million, up 13% from the same period last year. B2B Scores revenues were up 24% over the prior year, driven by increased originations revenues.  We drove revenue increases in mortgage, auto and credit card personal loan and other originations. This quarter, mortgage originations revenues were up 135% from the same quarter last year; auto originations revenues were up 5%; and credit card, personal loan and other origination revenues were up 2% over last year. B2B Scores revenues were down 11% from the same period last year, again, due to difficult comps. B2C revenues have been relatively flat throughout FY '23.  Software segment revenues in the third quarter were $197 million, up 16% versus the same period last year. Software recognized over time were $147 million or 74% of total Software revenues. License revenues recognized upfront or at a point in time were $25 million this quarter and represented 13% of Software revenues. Our professional services revenues were $25 million, also representing 13% of total Software revenues.  In the third quarter, 87% of total revenues were derived from our Americas region, our EMEA region generated 8%, and 5% were from Asia Pacific. Our software ARR in the third fiscal quarter of 2023 was $646 million, a 20% increase over the period the prior year. Our platform ARR was $164 million, up 53% from last year and represented 25% of our total third quarter ARR compared with 20% last year. Our nonplatform ARR also grew very well and was $482 million in the third quarter, up 11%. And as a reminder, all of our ARR numbers have been adjusted for the divestitures we've made.  Our dollar-based net retention rate in the quarter was 117% overall versus 109% last year. We continue to show very strong net expansion from our platform customers due to follow-on sales of new use cases and from increased usage. The DB NRR for platform was 142% in the third quarter. Our nonplatform customer software usage also increased this quarter due to increased volumes and CPI increases. The nonplatform NRR was 109%.  We had another good quarter of software sales with ACV or annual contract value bookings of $21 million versus $19 million in the prior year, an increase of 13%. And as a reminder, ACV bookings include only the annual value of software sales and exclude professional services.  Total operating expenses in the third quarter were $222 million this quarter versus $208 million in the prior year and $221 million in Q2. Third quarter expenses included our FICO World event in May and a onetime reimbursement of third-party data implementation costs that were previously incurred in the previous quarter.  Our non-GAAP operating margin, as shown in our Regulation G schedule, was 53% for the year, a 400 basis point improvement over the previous year. GAAP net income this quarter was $129 million, up 38% from the prior year quarter and included a noncash reduction to income tax expense of $9.5 million associated with the valuation of our R&D tax credits. GAAP EPS of $5.08 was up 41% from the prior year. Our non-GAAP net income was $143 million for the quarter, up 24% versus the same quarter last year. And the non-GAAP EPS was $5.66, up 27% from the prior year.  The effective tax rate for the quarter was 18% and included the adjustment to the valuation of the R&D credit I mentioned earlier. We expect our Q4 recurring tax rate to be approximately 25% to 26%. That expected recurring tax rate is before any excess tax benefit or other discrete items. Free cash flow for the quarter was $122 million. For the trailing 12 months, free cash flow was $446 million.  At the end of the quarter, we had $195 million in cash and marketable investments. Our total debt at the quarter end was $1.93 billion, with a weighted average interest rate of 5.1%. Currently, about 67% of our total debt is fixed rate. Our floating rate debt is prepayable at any time, giving us the flexibility to use free cash flow to reduce outstanding floating rate debt balances in future periods.  Turning to return of capital. We bought back 130,000 shares in the third quarter at an average price of $753 per share. At the end of the quarter, we had $237 million remaining on the current Board authorization, and we continue to view share repurchases as an attractive use of cash.  And with that, I'll turn it back to Will for his thoughts on the rest of FY '23 and an increase in our full year guidance.
William Lansing: Thanks, Steve. As we finish our fiscal 2023 year, I am extremely pleased with the progress we've made in advancing our strategic initiatives. And I'm bullish on both of the segments of our business. Our Scores business continues to deliver strong growth, and we're dedicated to innovation to face industry challenges in the years to come. And our Software business, through FICO Platform, is enabling customers to use the latest analytics and AI technology to optimize their consumer interactions.  Finally, today, we're again raising our full year guidance as we enter the final quarter of our fiscal year. We are raising our full year revenue guidance to $1.5 billion. We are also increasing our GAAP and non-GAAP net income guidance. GAAP net income is now expected to be $428 million. GAAP earnings per share is now expected to be $16.90. Non-GAAP net income is now expected to be $500 million. Non-GAAP EPS is expected to be $19.70.  And I'll now turn the call back to Steve, and we'll take some Q&A.
Steven Weber: Thanks, Will. This does conclude our prepared remarks, and we are ready now to take your questions. Operator, please open the lines.
Operator: [Operator Instructions]. Your first question comes from the line of Manav Patnaik with Barclays.
Manav Patnaik: I was hoping, I guess, for my first question, if you would just help us walk through how you thought about the guidance changes. It looked like -- I mean, obviously, you raised it, but it didn't seem like it was the full extent of the beat. So just curious what you're assuming for the last quarter and the variability quarter-to-quarter, I suppose.
Steven Weber: Yes. You know how we -- Manav, of how we're pretty conservative with the way we guide. And we don't want to be in a situation where we feel like we have to close deals in the last week of the quarter to hit a number. So if we can get a better deal pushing into next year, we're obviously willing to do that.  So we're pretty conservative, and we don't go out and limit any of this. We typically don't guide quarter-to-quarter. As you know, we typically guide full year, and we will update in the middle of the year. So it's a big deal for us to raise guidance with 1 quarter to go, but we thought we pretty much had to. So you can take it how you want. But I mean, we are pretty conservative with where we guide.
Manav Patnaik: Okay. Fair enough. And then obviously the... .
Steven Weber: And I will say just one more thing, Manav.
Manav Patnaik: Sure.
Steven Weber: Manav, I will say that we did have some -- a fair amount of onetime license revenue this quarter that we probably may or may not have in the fourth quarter. So we don't want to count on that.
Manav Patnaik: Yes. Fair enough. Okay. And then just on the Scores business, I mean the mortgage origination numbers speak for your pricing efforts there. But can you just tell us where we are on card, auto and the other stuff, like in terms of the pricing strategy there?
Steven Weber: So I mean, they all had some pricing increases this year, probably more in line with CPI. In terms of volumes, mortgage is still down. We're seeing the same decreases that the bureaus are reporting. Auto was relatively flat year-over-year. And card's actually down a little bit. The originations this quarter are actually down a little bit. So we don't go into a lot more detail now, but you can kind of back into what -- we see the same things that the bureaus see in terms of volumes.
Operator: And your next question comes from the line of Faiza Alwy with Deutsche Bank.
Faiza Alwy: So I wanted to follow up first on the Software side of the business. You mentioned onetime licensing revenue. And maybe I missed that, but talk to us more about like what drove that? And I know you said you're not counting on that for 4Q. But what were some of the drivers around that?
Steven Weber: We had some renewals. We had 1 fairly large renewal. If you look at our point-in-time revenue, it was $25 million this quarter. That's a little bit more than we have been trending. So it's not that sizable, but that's a number that can have some variability from quarter-to-quarter. So I think it was $20 million a quarter before that.  So those things happen when they happen, and we don't want to be put in a position where we have to have them happen in specific quarters. So we're cautious with where we guide. And that's not much of our business anymore. It used to be 20-plus percent of our business, now it's 10%. So actually, it's less than 10%. So it's a small part of the business, but it's still a meaningful number when you're looking at 1 quarter.
Faiza Alwy: Okay. Okay. And so my next question is generally around the Scores business. So with only 1 quarter left, we're looking ahead to next year, and I know you're sort of getting to the time where you start talking about pricing for next year. So curious how you're thinking about that. There's obviously a lot of changes that are supposed to happen in the mortgage space, in particular. So talk to us about any initial thoughts you might have around pricing.
William Lansing: It really is a little bit early for us to talk about pricing. We're still thinking that through. But I think you can anticipate that there will be continued increases in price, where we think that the market warrants it, where the value we're providing demands it. And in terms of significant changes to the structure of the market and the structure of our pricing, we don't anticipate that.
Steven Weber: Yes. I mean, I think a lot of those time lines have kind of been pushed already. So we make the decisions based on the information we have at hand, but it's -- other than that, it's difficult to know what's going to happen when.
William Lansing: I think the thing to keep in mind is this is a big and very important market. And it's important that any kind of changes happen slowly, incrementally and with the ability to anticipate kind of how the market will behave. And so you can expect us to be good players as far as all that goes.
Operator: Your next question comes from the line of Surinder Thind with Jefferies.
Surinder Thind: The first question is just around FICO World '23. The conversations that you have with clients there, how quickly do those conversations translate into signed contracts and then eventually revenues? And related to that, how big a source of new customers is that for you?
William Lansing: So great question. Thanks, Surinder. It's a tremendous source of business for us with existing customers and with new customers. And the speed with which it translates into business is it's actually quite a large continuum. We have deals that get signed at FICO World. I mean, we obviously try to close business on the spot, where appropriate. But then there's other things that just go into the pipeline and then we work the pipeline over the subsequent year.  Our pipeline has been getting shorter. Our pipeline used to be over 400 days. We're down well below that today and continuing to trend downward, which is a good sign. The thing with FICO World is it's really an opportunity for our customers to talk to other customers who have shared problems, shared experience and to really get kind of a real-world feedback from customers who've implemented our software, on how it's worked and what it's done for them and what kind of returns they can expect and the time lines for implementation and so on.  And because of the platform, in particular, is so successful, it's working so well, there's a lot of good stories to be told. And it's obviously way more credible when our customers are telling the story and acting as reference customers than we're out just selling our wares. And so FICO World is a very important event for us to be able to put customers in touch with one another. And frankly, they do the selling. We're there to facilitate.
Surinder Thind: That's helpful. And then a question about the FHFA time line for just switching over to the new mortgage scores. Any color there in terms of the conversations that you're having with customers or clients at this point in time just to understand whether the time lines are realistic? Are things already being engaged at this point? How should we think about the transition period?
William Lansing: I think that it's likely that the time lines will be extended. There's additional review going on. And there's obviously a lot of detail that needs to be worked out that wasn't completely worked out at the time of the announcement. And so I think all signs point to a more thoughtful and more drawn out time line.
Operator: Your next question comes from the line of Kyle Peterson with Needham.
Kyle Peterson: Just wanted to touch a little bit on the guidance raise and kind of where you guys have been kind of seeing upside, at least, kind of year-to-date here, particularly on the Scores side of the business, I guess. Where have things maybe been trending a little better than expected. I mean it seems like mortgage has been notably strong since a lot of that is price. But I guess is there anywhere in the guide, at least, so far, where you guys have been kind of tracking above and is kind of part of what allowed you guys to raise today?
Steven Weber: I think just what allows us to raise is just more time has gone by, and there's less risk, right? I mean we've already banked 3 quarters' worth of numbers. So entering the year, even at the midway point of the year, there's a lot of questions, and we've gone through the Silicon Valley bank crisis. We've gone through multiple rate increases.  There's been -- if you go back to the start of the year, there's a lot of uncertainty. And we have 3 quarters less of uncertainty now at this point. So we still got another quarter to go, and we'll see. But obviously, we've generated really good numbers to date. That just gives us more confidence in raising the guide.
Kyle Peterson: Great. That's helpful. And then just a follow-up, really, on the platform ARR, another quarter of kind of 50-plus percent year-on-year growth. I'm really impressed to see. Are you guys seeing -- is your customer net kind of widening? It seems like you guys got a lot of traction with some international banks early, but it seems like that might be expanding a little bit or in other kind of related verticals.  But I guess, how should we think about the pipeline and your ability to maintain some of these really robust growth rates, specifically as the law of large numbers kind of kicks in and makes the comps a little harder?
William Lansing: The growth in the platform is coming from both existing customers and new customers. And we continue to add enterprise customers as we -- as they learn more about what we have to offer and as they talk to their competitors and see what's on offer. And then once it's installed, once implemented, most of our customers find additional uses and wind up increasing volume and increasing use cases over time.  So we're still early days, and we're still adding lots of new customers. Over time, in the fullness of time, I would expect that there'll be more emphasis on the expand piece than the land piece. But for now, it's kind of equal parts, we're seeing both sides of it.  And so, I mean, it's a good story. We have always said that trees don't grow to the sky, and we don't anticipate 50%-plus growth rates forever. But I will say that I'm very pleased that here we are in our 15th quarter, a very high growth for the platform and with no seeming signs of abatement. It's -- the uptake is tremendous. And certainly, our potential market, the potential use cases, very, very large. And so I don't think that we have to -- we're not worried about law of large numbers yet.
Operator: Your next question comes from the line of George Tong with Goldman Sachs.
George Tong: You now have several months under your belt from when you raised prices in Scores at the beginning of the year. Can you provide an update on customer receptivity to overall pricing actions this year? And what credit volume assumptions for fiscal 4Q are reflected in your full year guide?
William Lansing: Customer reaction, let me take that one first. I think that our customers find lots of value in the Scores and what they do and recognize that they're a tremendous value. At the same time, no customer likes prices going up. And so as you can imagine, when we raised prices, we hear about it, and discussions go on.  And I think that the numbers speak for themselves. Our customers are very happy with the offering, with the product and with what it does for them. That's kind of how it goes. That's how it's gone for many years, and I don't expect that to change.  We don't -- we won't share our assumptions for next quarter. I think -- and honestly, George, I think I've talked about this before. The way we do this is we roll up all of our numbers and do a forecast and then haircut that with what we're willing to guide. So it's as a percentage of the total number we come up with.  So -- and there's a lot of things that go into that. So it's like running a mining [indiscernible] simulation, right? So we don't have 1 set of expectations for the next quarter. But again, we're conservative with the way we guide to make sure that we'll exceed.
George Tong: Got it. That's helpful. And then on the software side, ARR growth was very strong at 20% this quarter. Can you talk a little bit more about what's fueling that growth acceleration, particularly in this relatively tough macro environment? How much of the growth reflects large bank adoption of your platform solutions, increase in use cases, increase in usage or other factors?
William Lansing: We had some big deals with existing customers, and then we also added new customers. It's really both.
Steven Weber: And on the nonplatform side, we had good volume. Obviously, those numbers look good, too, right, so the ARR on the nonplatform side. We had some good volumes on the CCS side and some strong numbers in the Falcon Fraud side as well. So it's pretty much strength throughout the portfolio. And on the platform side, it's just the continued expansion. We had some customers -- big customers go live this quarter, and that's just -- it's new revenue, essentially.
Operator: Your next question comes from the line of Jeff Meuler with Baird.
Jeffrey Meuler: Let me just pick up there. Is there some thought that the nonplatform business has some decent growth potential like you saw this quarter? And then if you could just maybe address if the license step-up in the large renewal was in platform or nonplatform.
Steven Weber: Yes. I mean, that's hard to say. I mean, we -- I think we had some pent-up volumes coming out of the pandemic, where there's some more activity here. I don't think the off-platform long term is probably going to be a significant growth driver for us. But it's nice to see those numbers perform fairly well.
Jeffrey Meuler: And the license deal?
Steven Weber: The license -- so the license deal was -- that was a legacy business deal. That was not on the platform. That was a renewal of a legacy deal.
William Lansing: It's probably worth noting that our legacy software is installed and it winds up having a very, very long life. And we just -- we'd see things renewed kind of every 3 years, and it could be renewed 3x, 4x, 5x. And so I would expect that for our current book of business and on the legacy side, we expect continued renewals, and we expect to be supporting and seeing customer interest in those -- in that software for a very long time to come, usually a decade.  And we haven't abandoned the software, just to be really clear, I mean, legacy has kind of a pejorative flavor to it, which it should not. I mean our legacy software is industry-leading. And it does what it does better than any other software in the market. And our customers know it, and they love it.  And we continue to spend money on innovation there. We continue to spend money, R&D, to make sure that the functionality is as good as it can possibly be. And so as Steve said, we don't look to it as a source of growth, but it's not shrinking either. I mean it's a very solid business.
Steven Weber: And just one more thing to add to that. So the license deal was a renewal of a term deal. So that's not included in the ARR. So the ARR was driven by volumes, essentially, on CCS and other -- Falcon Fraud, maintenance and volume. So the license deals that -- our term license deals are outside of that.
Jeffrey Meuler: Got it. And then I get that it's early to talk '24 pricing, but maybe if you can just talk about the '23 experience. Like you said, the numbers speak for themselves, and they speak loudly. '23, historically high pricing. So just what did you learn from the experience? And is there the potential that the '23 pricing level could be the new normal going forward after you have some time under your belt on seeing how it resonated?
William Lansing: Well, I think we'll have -- it's a little bit early to say, and we'll have to see how things unfold. But I think that you can expect continued growth in Scores in both from -- contribution from price and contribution from higher volumes that we anticipate next year.
Jeffrey Meuler: Okay. And then just last, could you just address AR, and if there was any sort of like new system you implemented, any change in payment terms or if it's just natural variability and when you'd expect kind of the step-up in collections?
Steven Weber: Yes. It really is not. What it really comes down to, for the most part, is Scores. And we accrue the new revenue, and it takes a while for the payments to come in, right? So you're going to get a little bit of a lag. When it jumps up that quickly, you have -- your AR goes up.  So I think we were asked about that even last quarter about the free cash flow. And we're starting to see more of the free cash flow, flow through now because the AR from last quarter is flowing through today. So it does take a while for that to -- because there's such a significant uptick that it takes a while for it to flush through.
Operator: And gentlemen, your last question will come from the line of Rajiv Bhatia with Morningstar.
Rajiv Bhatia: Just on the myFICO business, which you've talked about being a $100 million annual business. I guess, first of all, how much of that business is kind of consumer monthly subscriptions versus consumer onetime reports? And then secondly, how do you think about pricing and pricing elasticities for the myFICO business?
Steven Weber: I mean the bulk of it is subscriber. It's like monthly subscription. And it's like any other product -- subscription products, a little bit consumer. It depends on what you're selling them and what's involved when included in the package. So we have a really good team that works on that, and they do different packaging at different price points and do a lot of consumer testing.  So it's never static, it's never 1 product at 1 price that's automatically raised at a certain rate. It really is -- it's about understanding the consumers and what the consumers are looking for and bundling different services and products then with that and then testing different price points.
Rajiv Bhatia: And historically, how much pricing have you taken in that business?
Steven Weber: Yes, we came and looked at that way really because what we do is we end up bundling it -- different products in with it at different price points. So it's not -- it's rarely about a static product that's sold at increased prices. It's usually -- you add more functionality to it or add different tiers with more functionality or more products or services and then you charge more for that.
William Lansing: I think what's interesting about the business is that almost any consumer who wants to get a free FICO score today can get one. I mean, from their bank -- I mean, it's relatively easy to get your FICO score. And in spite of that, we have a lot of consumers are interested in managing it and monitoring it on a regular basis. And they come and they pay money monthly to subscribe and keep an eye on it.  And obviously, these are the people who are most focused on their financial health, and it's a good service for them. And this has been the case now for years. We've been providing free scores for many, many years now with Open Access, and it hasn't hurt the myFICO business. myFICO business is very strong.
Operator: And there are no further questions. I'll turn it back to yourselves for closing remarks. Thank you very much.
Steven Weber: Great. Thank you very much, everyone, for joining today. This does conclude our call, and we look forward to speaking with you again soon. Thanks.
Operator: And that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your line.